Operator: Ladies and gentlemen, thank you for standing by. Welcome to Central Garden & Pet Company's Fiscal 2026 First Quarter Earnings Call. My name is Vaughn. I will be your conference operator for today. At this time, all participants are in a listen-only mode. We will hold a question and answer session, and instructions will be given at that time. As a reminder, this conference call is being recorded. I would now like to turn the call over to Friederike Edelmann, Vice President of Investor Relations. Please go ahead.
Friederike Edelmann: Good afternoon, everyone, and thank you for joining Central's First Quarter Fiscal 2026 Earnings Call. Joining me today are Nicholas Lahanas, Chief Executive Officer; Bradley G. Smith, Chief Financial Officer; John Edward Hanson, President of Pet Consumer Products; and John D. Walker, President of Garden Consumer Products. Nicholas will start by sharing today's key takeaways, followed by Bradley, who will provide a more in-depth discussion of our results. After their prepared remarks, John D. Walker and John Edward Hanson will join us for the Q&A session. Before they begin, I would like to remind everyone that all forward-looking statements made during this call are subject to risks and uncertainties that could cause our actual results to differ materially from what those forward-looking statements express or imply today. A detailed description of Central Garden & Pet Company's risk factors can be found in our annual report filed with the SEC. Please note that Central Garden & Pet Company undertakes no obligation to publicly update forward-looking statements to reflect new information, future events, or other developments. Our press release and related materials, including GAAP reconciliation for the non-GAAP measures discussed on this call, are available at ircentral.com. Last but not least, unless otherwise specified, all comparisons discussed during this call are made against the same period in the prior year. If you have any questions after the call or at any time during the quarter, please do not hesitate to contact me directly. And with that, let's get started.
Nicholas Lahanas: Thank you, Friederike. Good afternoon, everyone. We ended the year with strong momentum. I'll begin with a few highlights from the first quarter before stepping back to talk about how our priorities are evolving and how we see the year ahead. We closed the quarter with improved gross margins and solid earnings per share, especially when compared to a strong prior year first quarter that benefited from favorable shipment timing, promotional activity, and weather. These results reflect the strength of our operating model and the commitment and disciplined execution of our teams. Over the past several years, we focused on simplifying the business, improving efficiency, and maintaining profitability across both segments. And that work continues to show up in our results. At the same time, we're increasingly focused on positioning Central Garden & Pet Company for sustainable long-term growth. Supported by a strong balance sheet and deep customer relationships, we're sharpening our strategic priorities and advancing them with speed and agility. Over the past three years, our cost and simplicity agenda has strengthened the foundation of the company, creating leaner processes, a more streamlined footprint, and a more resilient operating model. While this work continues, much of the foundational transformation is now behind us, and the pace of incremental benefits is naturally becoming more measured over time. A key part of these efforts has been our multiyear supply chain network design program, which has improved customer alignment, service levels, and cost efficiency. During the quarter, we completed several important actions that further modernized our network and reinforced these benefits, including integrating two Garden distribution facilities in Lawrenceville, Georgia, and Ontario, California, into our modern fulfillment centers in Covington, Georgia, and Salt Lake City, Utah. We also consolidated a fertilizer manufacturing facility into our Greenfield, Missouri location. What's most important is that the discipline around managing costs and operational simplicity is now firmly embedded in our culture. With that foundation in place, we're applying the same clarity, focus, and consistency to fostering a growth mindset and embedding innovation more deeply across the organization. We view innovation much like cost and simplicity, as a multiyear journey rather than a near-term event. Our focus is on building repeatable ways to identify opportunities, develop products, and bring them to market. That said, we're already seeing encouraging signs. Recent examples include a new product innovation at Nylabone, expanded digital engagement through KT's new Burger Hub, and strong early consumer response to several new garden and household solutions. We're also seeing good momentum in private label programs developed closely with our garden retail partners. Alongside organic growth and innovation, we continue to be thoughtful and selective in how we use M&A to refine our portfolio. After quarter end, we completed the acquisition of Champion USA, a small tuck-in business serving the livestock industry with EPA-approved Feed Through Fly Control solutions. This adds a complementary capability to our professional portfolio, supports cattle health solutions, and fits well with our focus on consumables and environmentally responsible practices. Looking ahead, with the first quarter behind us, we're operating with strong momentum, clear priorities, and a steady focus on delivering results. As we build on the foundation already put in place, innovation will play a progressively larger role in driving growth across the business. Our diversified portfolio, operational flexibility, and a disciplined approach to cost management give us confidence in our ability to deliver profitable growth even as we navigate an evolving global macroeconomic and policy environment. As we look to the rest of the year, we'll continue to balance prudent cost and cash management with targeted investments that support organic growth, especially innovation, digital capabilities, and e-commerce. As these investments scale, we expect results to build over time. M&A remains an important component of our growth strategy. We continue to focus on margin-accretive consumable businesses that complement our portfolio and expand our presence in attractive categories, and we expect our activity to increase as market conditions continue to normalize. We also expect consumers to stay focused on value and product performance in a promotionally active but generally stable retail environment, alongside continued channel shifts for e-commerce. These factors reinforce the importance of sustained investment in innovation, consumer insights, and digital capabilities. Based on these factors and our current operating plans, we are reaffirming our expectation for fiscal 2026 non-GAAP diluted EPS of $2.70 or better. As always, our outlook excludes potential impacts from future acquisitions, divestitures, or restructuring actions, including those related to our cost and simplicity agenda. Before I hand it over to Bradley, I want to thank our teams across Central Garden & Pet Company for their continued commitment and strong performance following a year of meaningful progress. The work we've done has positioned the company well, and as we move into the next phase, we're doing so from a position of strength, with a clear shift toward greater emphasis on growth and innovation while maintaining operational rigor. And with that, I'll hand it over to Bradley.
Bradley G. Smith: Thank you, Nicholas. Building on Nicholas's remarks, I will begin with our first quarter performance. Net sales were $617 million, a 6% year-over-year decline, with two primary factors that accounted for substantially all of the change. First, the timing of retailer spring inventory shipments in the Garden segment and, to a lesser extent, in the Pet segment. As discussed in last year's first and second quarter earnings calls, seasonal load-ins in fiscal 2025 were unusually concentrated in the first quarter. This year, a larger portion of those shipments shifted into the second quarter. Second, our continued portfolio optimization efforts continued to enhance margins and support sustainable, profitable growth. These include rationalizing lower-margin categories such as pet durables and select live plants categories, as well as the recent closure of our UK operation and transitioning of our European business to a more profitable direct export model. In addition, first-quarter results reflected two factors we had previously discussed on our fourth-quarter call: the ongoing transition of two third-party product lines in our Garden Distribution business to a direct-to-retail model, which began last year and is expected to be completed this Q4, and a temporary shipment hold with a large pet customer, which began in Q4 and was resolved late in the first quarter. Importantly, these two factors were balanced by solid growth across several key businesses, including rawhide, wild bird, and animal health, underscoring the resilience of our consumables portfolio and progress against our strategic priorities. On a non-GAAP basis, gross profit was $190 million compared with $196 million, while non-GAAP gross margin expanded 100 basis points to 30.8%, driven by productivity gains and improved mix. Non-GAAP SG&A expense was $166 million, down 1% versus the prior year. As a percentage of sales, non-GAAP SG&A was 26.8%, compared with 25.5%. Non-GAAP operating income was $24 million compared with $28 million, and non-GAAP operating margin was 3.9% with 4.3%. Non-GAAP adjustments related to our cost and simplicity agenda totaled $7 million in the first quarter. The majority of these costs were within the Garden segment and largely reflected facility consolidation activities. Below the line, net interest expense of $8 million was consistent with the prior year. Other income was $200,000 compared with an expense of $2 million. Non-GAAP net income totaled $13 million compared with $14 million in the prior year. We delivered GAAP diluted earnings per share of $0.11 and non-GAAP diluted earnings per share of $0.21, consistent with the prior year and above our expectations for the quarter. Adjusted EBITDA for the quarter was $50 million compared to $55 million. Our effective tax rate for the quarter was 23.3% compared with 23.5%. Let me now provide highlights from the first quarter across our two segments. Beginning with Pet, net sales for the Pet segment were $416 million, a 3% year-over-year decline reflecting the portfolio optimization efforts, shipments shifting into the second quarter, and temporary shipment hold, which I noted earlier. These factors were partially balanced by continued growth in our Rawhide business and our Animal Health business, especially within Professional and Equine. Consumables overall grew at a low single-digit rate, supported by favorable point-of-sales trends. Across the Pet segment, we held share overall, with gains in several key categories, including dog treats, flea and tick, pet bird, and our professional portfolio, reflecting consistent execution across our core categories. Non-GAAP operating income for the segment was $50 million compared with $51 million. Non-GAAP operating margin improved to 12.1% from 12%. Adjusted EBITDA for the segment was $60 million compared with $60 million. Now moving to Garden, net sales for the Garden segment were $202 million, a 12% decline reflecting shipment timing, the continued transition of two third-party distribution product lines, and further rationalization of our live plants categories, partially balanced by continued growth in our wild bird business. Overall, we gained market share in Garden, with gains in several key categories, including wild bird, fertilizer, and packet seeds. As expected, the first quarter is seasonally smaller for Garden, with the core selling season still ahead, and it would be premature to draw conclusions about the full fiscal year. Non-GAAP operating loss for the Garden segment was $2 million compared with income of $2 million, as shipment timing more than offset productivity gains and disciplined cost management. Non-GAAP operating margin was negative 1.2%, compared to positive 1.1% a year ago. Adjusted EBITDA totaled $8 million compared with $14 million. Moving on to the balance sheet and cash flows, cash used by operations was $70 million for the quarter compared with $69 million a year ago. Our teams continue to demonstrate strong working capital management, building on the significant inventory reductions achieved following the pandemic-related build. During the quarter, inventories increased by $20 million versus the prior year, primarily reflecting the timing of shipments. CapEx for the quarter was $11 million compared to $6 million, consistent with a focused investment approach centered on productivity initiatives and essential maintenance. Depreciation and amortization totaled $21 million compared to $22 million. During the quarter, we repurchased approximately 660,000 shares for $18.5 million, with $28 million remaining under the share repurchase authorization as of quarter end. At quarter end, cash and cash equivalents and short-term investments totaled $721 million, up $103 million after our usual Q1 working capital build and the acquisition of Champion USA, underscoring our strong liquidity position and cash generation profile. Total debt was $1.2 billion, unchanged from the prior year. Gross leverage ended the quarter at 2.9 times, consistent with the prior year and below our target range of 3 to 3.5 times. Net leverage was approximately 1.2x, supported by our solid cash position, and we had no borrowings outstanding under our credit facility at year end. This balance sheet strength provides the flexibility to invest in acquisitions and organic growth, maintain financial resilience, and return value to shareholders. As Nicholas mentioned, we are reaffirming our non-GAAP diluted EPS guidance of $2.70 or better. We continue to expect CapEx of approximately $50 million to $60 million, largely focused on maintenance and productivity initiatives across both segments, reflecting our focus on high-return investments that enhance efficiency and profitability. Unchanged from the first quarter, we currently estimate incremental year-over-year gross tariff exposure of roughly $20 million for the fiscal year, concentrated in the Pet segment. We expect to mitigate the impact through pricing actions, portfolio management, and supply chain initiatives. As always, our outlook excludes the potential impact of future acquisitions, divestitures, or restructuring activities during fiscal 2026, including any actions associated with our cost and simplicity agenda. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question and answer session. Our first question comes from Bradley Bingham Thomas with KeyBanc Capital Markets. You may proceed with your question.
Bradley Bingham Thomas: Good afternoon and thank you for taking my question. With freezing temperatures across the country, I think it's probably a little premature to ask how the garden season is kicking off. But John D. Walker, I was hoping you could speak a little bit more about the placements that you're seeing in terms of the garden season and if whether we're just normal with last year, how you feel like the opportunity is to gain some share and get some growth in the category?
John D. Walker: Sure, Bradley. Thanks for the question first of all and thanks for not reading into too much into the Q1 results because Q1 will not dictate what our garden season looks like. That season is still in front of us as you noted. And we feel really optimistic about the upcoming year. I think I mentioned on our prior call that the total distribution points of products that we manufacture is up 14% year over year. And we feel great about that. For a mature business like ours, that's significant improvement year over year. So we feel great about it. We feel great about our relationships with our customers and they're supporting us with promotions and off-shelf activity for the upcoming season. And while much of the country is frozen right now, as you noted, we do feel great about the level of support that we're gonna have for the upcoming year. So I say that, you know, from a share standpoint, we had a good share year last year as we noted in the script just now we gained share in fertilizers and in packet seeds and in wild bird feed. Expect that to continue this coming year and adding grass seed to that as well. So we feel great about the level of support, about the distribution gains that we've gotten, and about our prospects for the year. And I'd say our retailers are optimistic about the upcoming year as well and they're supporting us well.
Bradley Bingham Thomas: That's very helpful, John D. Walker. Thank you. Yes. Obviously, big quarter ahead of you here in the all-important garden season. I wanted to ask a follow-up to Nicholas just about the momentum in cost and simplicity and all the success you all have had in driving improved profitability. I guess, Nicholas, the question is, as we think about that balancing act of improving profitability versus investing in the business to grow, you alluded to that in your prepared remarks. Can you speak to maybe where you're most putting investments in place to try to drive the business? And perhaps are we getting to closer to a spot where you may play offense even more in terms of spending to try and drive growth?
Nicholas Lahanas: Thank you. Yes. Great question, Bradley. As we mentioned in the prepared remarks, we've been at cost and simplicity for quite a while. Our project horizon is now complete where we have these four large, very modern distribution centers across the country. The efforts are going to continue. We want to maintain these pipelines with cost savings initiatives across the company. We feel like that skill is really embedded into the culture. It's taken a number of years, but we feel like we've got a great foundation. Obviously, a lot of the savings and a lot of those are reflected in the margins that have expanded. But also what's expanded margins is really along with cost and simplicity, has been our portfolio optimization. So that's another area that, you know, we're taking out what we call empty calories. So it's SKUs in businesses that have revenue but don't bring a lot to the bottom line. And we don't see really a path forward to improve those margins and bring more to the bottom line. And so sometimes you gotta get a little smaller to get better, and I think that's what you're seeing sort of real-time. So we're doing all this foundational work. Today. We feel great about it. It's gonna continue. We feel like it's very embedded in the culture. But now we really recognize that it's time to pivot and focus really on a growth mindset, what we call a growth mindset. And what we mean by growth, it's M&A, not just innovation. It's picking up private label. It's driving market share in our categories. It's investing in digital. You're starting to see pockets of that across the business. So you saw the small tuck-in M&A deal we did a couple of months ago. You're seeing us push harder into digital. If you look at Feeding Frenzy, it's been an incredibly successful initiative for us in Q1. And we're starting to see a little more innovation across the businesses. We want to embed that in our culture. Just like we have cost of simplicity. It's gonna be a multiyear program. But one thing Central Garden & Pet Company does extremely well, when we focus on things, and really drive it home and we focus on a few things with excellence, we normally succeed just like in cost of simplicity. The innovation push is going to take some time, but with the proper amount of focus and constancy of purpose, we feel really great about the future in terms of driving growth. So that's going to be a real push and it's sort of the next phase of our evolution is what I call it.
Bradley Bingham Thomas: That's great. Thank you, Nicholas. Our next question comes from the line of James Andrew Chartier with Monness, Crespi, Hardt. You may proceed with your question.
James Andrew Chartier: Good afternoon. Thanks for taking my questions. Could you help kind of quantify the impact of some of these headwinds to sales, the timing of garden shipments, the pause in shipments to the large e-commerce player, and then kind of the business rationalization efforts?
Bradley G. Smith: Yes. I would say this is Bradley. Thanks for the question. I would say at a total company level, you look at the timing impact, it was more than half of the overall net sales decline. So it was by far the biggest. And number two would be the portfolio optimization efforts. And if you put those together, that was essentially almost 100% of the net decline. If you then look at the product line wind down in garden that we're talking about, and then the stop shipment we had with the customer on the pet side, those impacts were relatively smaller and they were fully offset by the gains that we talked about in our prepared remarks around rawhide, animal health, and wild bird.
James Andrew Chartier: Great. That's really helpful. And then last quarter, you talked about some kind of green shoots and kind of pet adoption trends. Just curious, any update there?
John Edward Hanson: Yes. On the Pet side, this is John. Everything we see is really the category is stabilizing. If we look at household penetration by rate, Nielsen tracked channels, you know, everything's indicating stabilization. We have a live animal business that in Q4 posted positive growth, so it's low single digits. It posted positive growth again in Q1. So we think we definitely hit the bottom and we're tilted towards coming back up. You know, the magic question, you know, is what's the timing of that? Could we see some modest growth in the back half? Possibly.
James Andrew Chartier: Great. And then lastly, you mentioned that EPS was better than expected in the quarter. Could you help us understand what drove the upside relative to your expectation?
Bradley G. Smith: Yes. As Bradley mentioned, we had some offsets. So the offsets were all higher margin businesses. We got some orders in that were in our higher profit business. So a lot of that dropped to the bottom line and was great for us. We were very pleased to get those. So that was really the main driver.
James Andrew Chartier: Great. Thanks. I drill it down, it's really mix.
Bradley G. Smith: Got it. Thank you. Our next question comes from the line of Brian McNamara with Canaccord Genuity. You may proceed with your question.
Brian McNamara: Hey, good afternoon, guys. Thanks for taking the question. I don't know if you quantified the durables performance in the quarter or the current mix. Just that would be helpful.
Bradley G. Smith: How are you doing? It's Bradley again. Durables, we're talking about it quarter these days. It was about 16% of sales in pet in Q1. So it was consistent with Q4. The decline was, I would say, north of 20%, but it was fairly steep. I would call out that about two-thirds of that was the timing shift that we saw in our cushions business from Q1 to Q2, plus the exit of the tank business that we are kind of in the late stages of. So two-thirds of that kind of north of 20% decline was related to those two factors in combination. And I think the important thing to call out is that once we get beyond Q2, we should have effectively lapped that timing impact on cushions as well as all the exiting of tanks. And so when you get into the back half, we should be down to, if we've got differences year over year in durables, it should be in the single digits.
John Edward Hanson: And this is John. Just to build on that, the exiting of tanks was part of the portfolio optimization, so it was SKU rationalization of low-margin SKUs. So a lot of it we proactively, you know, did to ourselves. But it's the right decision long term.
Bradley G. Smith: Yeah. And the only other thing I would add, we're talking a lot about timing and it was the number one driver in terms of Q1 top line. Early indications here in January are we had very good shipments and we saw a lot of that come back to us already in January. We still have two more months left in Q2. So it's sort of playing out the way we expected.
Brian McNamara: Great. That's helpful. Curious your thoughts on retailers' commitments to the Garden category. I know one of my peers just mentioned that this weather is probably the last thing you're thinking about is gardening right now. But how do you guys feel you're positioned if we actually get some good spring weather for a change?
John D. Walker: Hi, Brian. It's John D. Walker. I'll take that question. I think we're positioned well. I mentioned that earlier when Bradley asked about it. I think from a retailer support standpoint, I think we've secured the support that we need to succeed. Retailers are still optimistic about the upcoming season. I mean, spring will come at some point in time. We did not build in any upside for favorable weather this year. We planned on pretty much weather consistent year over year. Last year wasn't stellar. So hopefully that could be a tailwind for the upcoming year. I think we're well positioned and I think retailers are very engaged. Lawn and Garden drives a lot of footsteps into their store. So they're still approaching it as such, very optimistic about the year and really dependent upon a good lawn and garden season. So we've gotten their support and their level of engagement.
Brian McNamara: Great. And then just finally, I'm curious your thoughts on the M&A environment. Obviously, tariffs and policy uncertainty made it a pretty quiet year last year, but you acquired Champion or announced in December. Curious how that's looking across both businesses right now? Thank you.
Nicholas Lahanas: Yeah. I mean, we're encouraged. We're seeing more activity, I would say. We're involved in several discussions right now. So we feel quite good. We're actually seeing more pet activity, which is quite nice. So yeah, we're feeling quite good about things, and we think it's gonna continue to pick up. At least that's what all the indications are right now.
Brian McNamara: Great. I'll pass it on. Thank you, guys.
Operator: Our next question comes from the line of Robert James Labick with CJS Securities. Looks like Robert has dropped off the line. Our next question comes from Hale Holden with Barclays. You may proceed with your question.
Hale Holden: I got two questions. I want to be more bullish on the cold winter weather. So in the event that we have actually a really good spring weather set for you, how do your inventory stocks look or how would your ability be to fulfill chase orders?
John D. Walker: Hale, this is John D. Walker again. We go into the season with really reasonable in-store inventories. So year over year in dollars, it's up low single digits. In units, it's flat year over year. So we'll be shipping into that. So if there is a push on inventory, or on demand, I think we're in great shape. We did a fall prebuild. Our inventories and our barns are in great shape. So we're ready for ready to be pressure tested. Let's put it that way. And we would enjoy that after the last couple of years with the weather that we've had. But, you know, we're in good shape. By the way, you know, we've talked a lot about the cold weather. We do have a portfolio that, you know, due to our wild bird business, it does quite well in the cold weather. So our consumption right now for our wild bird business is fantastic thanks to all the snow cover. And I think that that's one of the benefits of having a more diverse portfolio.
Bradley G. Smith: And I would add too as far as chasing season, all the network design work we've done enables us to really move with a lot more agility and get orders out. We have more doors, we can handle more trucks. So in case there is a surge, we are much better positioned to basically handle that.
Hale Holden: I'm sitting in day 30 here of under 32-degree weather in New York. So I'm thinking...
John D. Walker: Yeah. Sorry. Yeah.
Hale Holden: Yes. My second question is, I was, like, trying to read between the lines on your commentary on the consumer on both pet and, you know, where we could go and garden, and it sounded like it was tepid or no change from kinda where you've been for the last six months. I was wondering if I have the right read.
John Edward Hanson: I would say on the pet side, we probably feel a little more bullish. We have seen the bottom. We have a live animal business now that is growing in Q4 and again in Q1. Certainly from household penetration buy rate, all the everything that we can see, the category stabilized. And six months ago, nine months ago, it was declining still. So I think we definitely have seen the bottom. And the question is, how quickly does it return to growth? And we're very hopeful that could happen in the back half.
John D. Walker: And on the Garden side, I think we feel optimistic as well. You know, we're seeing some shift from do it for me to do it yourself. I think that bodes well for our products and our categories. And then historically, our categories have done well in a difficult environment. And that's because consumers may pass on large capital outlays for they may not remodel a kitchen right now. Due to the cash outlay. They're gonna take on small maintenance projects and that includes beautifying the yard and things like that. That's a couple $100 capital outlay as opposed to several thousand.
Bradley G. Smith: Yeah. And I would think I would just add overarching, the consumer is still very hardwired towards value. And that's something that is really up to us to deliver. And you're seeing a lot of that with us getting into private label. We've also innovated around more what I would say, cost-friendly products in dog and cat. And those have done extremely well. So it's really meeting the consumer where they are, and what they're looking for relative to their pocketbook.
Hale Holden: Thank you, fellows. I appreciate it.
Operator: We have Robert James Labick rejoining for a question with CJS Securities. You may proceed.
Robert James Labick: Hi, Keith. This is one for Robert. Can you hear me?
Bradley G. Smith: Yes.
Robert James Labick: Great. Looking to the return of top-line growth and knowing weather is the biggest factor in any one year, so excluding weather, are you positioned to lap SKU rationalizations in the second half? And therefore poised for growth or have there been other changes that would keep a lid on the top line in the near term?
Nicholas Lahanas: Well, we're optimistic towards the end of the second half. I think we're still gonna be lapping a lot of the what I would call the headwinds in terms of the top line with our SKU wrap program. But we feel the we're a lot more optimistic. And I think as we get into Q4, we should be in a position to start really growing top line. But we still have a couple of quarters to go as far as the headwinds on what we call our portfolio optimization.
Robert James Labick: That's very helpful. Thank you. And then just one more balance sheet remains extremely strong. Can you discuss your capacity for M&A versus share repurchases and if you can do both?
Nicholas Lahanas: Yes. We absolutely can do both and we, you know, we've kind of been doing both. And we just plan on picking up M&A activity a lot more. We're carrying obviously a lot of cash on the balance sheet and really that's designed to go towards M&A. We've just been waiting for the deal environment to pick up. We're pretty optimistic there. But if you look at last year, we bought back almost 10% of the market cap. We did about $18.5 million this last quarter. We're going to continue to be optimistic or opportunistic, I should say, in the market when we feel like our shares are a great value. We're gonna be there to support it. And it's a great way for us to return money to our shareholders. So we absolutely will do both.
Robert James Labick: Thank you.
Friederike Edelmann: Thank you, everyone. This was our last question. Thanks for joining our call today and have a great rest of the week. We have the IR team available for any questions you may have after this call. Thank you.